Operator: Good morning and welcome to the U.S. Silica first quarter 2022 earnings conference call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. If anyone should require operator assistance during the conference, please press star, zero on your telephone keypad. As a reminder, this conference is being recorded. It is now my pleasure to introduce you to Patricia Gil, Vice President of Investor Relations. 
Patricia Gil: Thank you and good morning everyone. I’d like to thank you for joining us today for U.S. Silica’s first quarter 2022 earnings conference call. Leading the call today are our Chief Executive Officer, Bryan Shinn, and Don Merril, our Executive Vice President and Chief Financial Officer.  Before we begin, I would like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that will be made today. Such forward-looking statements, which are predictions, projections or other statements about future events are based on current expectations and assumptions which are subject to certain risks and uncertainties. For a complete discussion of these risks and uncertainties, we encourage you to read the company’s press release and our documents on file with the SEC. We do not undertake any duty to update any forward-looking statements. Additionally, we may refer to the non-GAAP measures such as adjusted EBITDA, segment contribution margin, or our consolidated leverage ratio during this call. Please refer to today’s press release or our public filings for a full reconciliation of adjusted EBITDA to net income and discussions of segment contribution margin and the consolidated leverage ratio. With that, I would like to turn the call over to our CEO, Mr. Bryan Shinn.
Bryan Shinn: Thanks Patricia and good morning everyone.  We started 2022 with a very strong quarter, delivering sequential improvements of 7% in total revenue and 26% in adjusted EBITDA. Macros were very favorable with continued robust demand and we delivered meaningful price increases across both business units in the quarter. I’m also pleased to report that the positive market conditions are continuing and we expect to deliver an even stronger financial quarter with great results in Q2. Don will discuss the details of Q1 performance in just a minute, but first let’s review some of the significant trends that we saw during the quarter. In our oil and gas segment, sand and logistics remained effectively sold out due to strong well completion demand, particularly in West Texas. Our teams worked diligently with customers to minimize disruptions and well site downtime given the overwhelming market demand. We also supplemented our local sand capacity with Northern Lights sand to assist customers.  The supply and demand balance in the sand and last mile logistics market remains very tight and we have experienced increased operating cost from higher natural gas and diesel prices. As a result, sand and SandBox sales prices and margins have risen substantially and we continue to sign attractive new contracts.  Speaking of SandBox, our last mile logistics business was close to an all-time quarterly high and delivered loads in Q1 and, as a result, profits were up meaningfully. Overall, our oil and gas segment finished the quarter with strong momentum and we expect a major sequential increase in profitability in Q2, and I’ll talk more about that in just a minute. In our industrial segment, customer demand remained strong across end uses and market segments. We had numerous exciting developments and milestones during the quarter, and I will review those in detail momentarily. As we mentioned on last quarter’s call, strong winter storms negatively impacted a few of our operations during the quarter, resulting in higher costs, delayed shipments, and a less favorable product sales mix. These were transitory issues, though, and we expect a very strong rebound in Q2. Our industrial team has continued to move swiftly and decisively to implement price increases and surcharges to compensate for inflation impacts. Since the beginning of the year, we have announced four price increases and surcharges to preserve our margins, and we will continue to raise prices as necessary throughout 2022. For example, earlier this month we announced another two rounds of price increases for the majority of non-contracted ISP product that will range up to 25% and will be effective for shipments starting May 15 and June 1. I’m also happy to report that our Millen facility remains sold out, driven by strong demand for our EverWhite cristobalite product line. The bottom line is that March rebounded substantially in industrials, and we expect Q2 to be one of the strongest quarters ever for our industrial segment. In total, we expect first half 2022 ISP profitability to be on or slightly ahead of plan. With the rest of my time this morning, I want to give an update on the exciting growth opportunities in our industrial portfolio and then finish with a summary of our outlook for the second quarter and the balance of 2022. Our strategic investments in product development and new technology have helped position U.S. Silica in our industrial segment as a leader in advanced materials and high value minerals. U.S. Silica is proud to provide essential ingredients to critical value chains such as renewable energy, commercial and residential construction, food and beverage production, biopharma, and glass manufacturing. Innovation and the profitable expansion of our industrial products portfolio remain top corporate priorities.  During the quarter, we had numerous successes and milestones supporting the expansion of future contribution margin dollars, including: adding over 300,000 tons of new annual sand and clay sales to U.S. industrial customers with long term contracts, for a total of more than $4 million of incremental annual run rate contribution margin: completing very successful customer trials of our new EverWhite pigment and activated clay products, which may lead to accelerated commercialization of our fillers and green diesel offerings; fully commissioning our new West Virginia limestone and aggregates plant, we have nearly 2 million tons of new business opportunities there spanning a number of infrastructure applications, including aggregates, asphalt and concrete; executing attractive contracts with several leading quartz countertop manufacturers will delivering them record production of our new EverWhite cristobalite product.  We also received positive customer feedback from our first trial of our new highly reactive treated silica and we are extending trials with two additional customers for that product. We filed a patent for utilizing our breakthrough new technology to potentially create improved battery precursor material. We had successful development in productions runs of a next generation White Armor Cool Roof Granule product with increased total solar reflectance and improved energy efficiency; and finally, we installed a developmental mill for our Fortifill [ph] reinforcing filler line, and customer trials for this product are ongoing and feedback remains positive. We continue to make exciting progress executing our industrial growth plan, and I look forward to providing additional updates on future calls.  Now let’s turn to our business and market outlook for the second quarter of 2022, starting with oil and gas. Our proppant and SandBox offerings are extremely well positioned with strong value propositions and a premier customer base. We expect both to remain essentially sold out in Q2 with approximately a 10% increase in sequential tons produced from operational efficiency gains. We forecast higher prices and contribution margins per ton for sand and per load for SandBox deliveries and expect to see a competitive but still disciplined market. Given all those factors, we expect second quarter segment contribution margin dollars to be up at least 25% in oil and gas. Turning to our industrial and specialty products segment, demand remains strong and we anticipate substantial sequential profitability improvements. For the second quarter, we’re expecting robust sales volumes as we offset west coast shipping challenges by utilizing alternate ports across the U.S., and with further price increases taking effect plus improved product mix, we expect contribution margin dollars will increase about 15% to 20% sequentially, with per ton margins around $40. Regarding the status of our strategic revenue of the ISP segment, as we stated on our last earnings conference call, we continue to consider a broad range of options, including a potential sale or separation of our industrial segment. The process is ongoing and as of today, I have no further information to share. Overall, 2022 is setting up to be a very promising year across the company. In our oil and gas segment, strong customer demand and constructive commodity prices should continue to support higher pricing and improved margins for sand proppant and SandBox. Our high contract coverage and exposure to escalating spot pricing should afford us improved results that extend into the second half of the year. We’re also well positioned for growth in our ISP segment with demand driven by new opportunities in several fast growing end uses, increased new product adoption, growth in our underlying base business, and margins that are supported by further price increases and favorable product mix. Finally, we expect to generate significant free cash flow this year and to continue de-levering our balance sheet. With that, I will turn the call over to our CFO, Don Merril, who will discuss our financial results in more detail. Don?
Don Merril: Thanks and good morning everyone. As Bryan stated, our adjusted EBITDA for Q1 was $52.9 million or an increase of 26% sequentially when compared to the prior quarter, supported by strong customer demand particularly in the oil and gas segment along with higher pricing that assisted in offsetting inflation in both our segments.  Selling, general and administrative expenses for the quarter were higher than we anticipated and increased 15% sequentially to $40.1 million. The increase was driven mostly by a supplier contract termination where we were presented with the opportunity to use cash generated during the quarter to minimize future liabilities at a discount, and merger and acquisition-related expenses. Depreciation, completion and amortization expense decreased 2% sequentially to a total $37.7 million in the first quarter. Our effective tax rate for the quarter ended March 31, 2022 was a benefit of 45%, including discrete items.  Now let me move on with a detailed review of our operating segment results. The oil and gas segment reported revenue of $176.2 million for the first quarter, an increase of 11% when compared to the fourth quarter. Volumes for the oil and gas segment were down 1% versus the prior quarter and totaled roughly 3.1 million tons, while SandBox delivered loads increased 14% compared to the prior quarter. Segment contribution margin improved significantly and increased 49% sequentially to $44.8 million, which on a per-ton basis was $14.63 in the quarter. This was a sequential increase of 50% and handily exceeded our long term benchmark of $10 on a per-ton basis. These results were driven by strong customer demand as well as net pricing improvements for both sand and last mile logistics. Our industrial and specialty product segment revenues increased 2% sequentially to $128.6 million when compared with the atypically strong fourth quarter in 2021. Volumes and contribution margin decreased 1% and 9% respectively on a sequential basis due to the previously mentioned inefficiencies associated with weather impacts, unfavorable product mix and inflation, which should be offset by pricing in future quarters. On a per-ton basis, due to the transient issues described above, the contribution margin for the industrial and specialty products segment decreased 8% sequentially and totaled $35.23 per ton. Turning to the cash flow statement, during the first quarter we delivered $15.1 million of cash flow from operations after using cash to minimize a future liability for the previously mentioned supplier contract termination, and we invested $7 million of capital primarily for current and new product expansions, as well as facility upgrades. As previously announced on our fourth quarter earnings conference call, we received approximately $21 million of the final IRS CARES Act refund in late February. The company’s cash and cash equivalents on March 31, 2022 were slightly up compared to the prior quarter with a balance of $239.8 million. At quarter end, our $100 million revolver had zero dollars drawn with $78.4 million available under the credit facility after allocating for letters of credit. Looking forward, we remain committed to funding our business growth and de-levering our balance sheet through what we believe to be robust operating cash flow at the remainder of the year. We will be disciplined in our capital spending and manage accordingly with an emphasis on investing in growth projects in the ISP segment to maximize future profitability. We continue to expect capital spending to be in the range of $40 million to $60 million for the full year, with spending more weighted towards the second half of the year. We anticipate full year 2022 SG&A expenses to be higher than our prior guidance and up 10% to 20% year-over-year, primarily due to the supplier contract termination in the first quarter, ongoing merger and acquisition-related expenses, and other costs mostly due to increased activity and inflation. Full year 2022 DD&A expense is still anticipated to decline about 15% due to past investments which became fully depreciated at the end of 2021. Our estimated effective tax rate for the full year of 2022 is a benefit of 48%. In conclusion, we remain committed to strengthening our balance sheet by focusing on free cash flow generation. Our proactive pricing actions are allowing the company to effectively manage the inflation issues and further demonstrates the resiliency of our two business segments. This year, we aim to balance our capital investments with cash flow in order to further reduce our net leverage closer towards our goal of nearing three times net levered in 2024. With that, I’ll turn the call back over to Bryan.
Bryan Shinn: Thanks Don. Our first quarter company results showed very nice sequential improvements, and we have undertaken a number of initiatives to maintain leading positions in both of our market segments. We’re determined to maintain profit margins through price increases and surcharges and have implemented additional process efficiencies that should also drop to the bottom line in future quarters. We are delivering on our commitment to expand our industrial product portfolio and we are well positioned to continue to strengthen our balance sheet in 2022 and beyond.  With that, Operator, will you please open the lines for questions.
Operator: [Operator instructions] Thank you. Our first question comes from Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks, good morning everybody. 
Bryan Shinn: Morning Stephen.
Stephen Gengaro: Two things, if you don’t mind. The first would be on the ISP side, you’ve announced and you’ve talked on the call about price increases that have been put through on various products. Can you just speak to the timing of how these roll through and how much of this is reflected in the second quarter pretty strong ISP guide for contribution margin dollars?
Bryan Shinn: We had two different price increases for different product lines, Stephen. One was May 15 effectiveness and the other was June 1, so we’ll see a little bit of that in Q2 but I would say more of that in the second half. I think we’ll see several million dollars’ worth of additional pricing in second half versus first half.
Stephen Gengaro: Okay, thank you.
Don Merril: Stephen, I would just add, look - clearly inflation was a little bit of a headwind for us in Q1. That’s why you saw those price increases come in later. Look, it’s just going to be a timing issue for us as we put the price increases in place and make up for that inflation in Q1.
Stephen Gengaro: Okay, that makes sense. Thank you. When you think about the oil and gas side of the business, clearly demand is very strong and we’ve heard pressure pumping companies in the first quarter were inefficient to an extent because of a shortage of frac sand at the mine. When you look at the industry dynamics and you look at current capacity, what you’re seeing in the field as far as maybe some shuttered mines potentially coming back online, what are you seeing and how do you think about the supply side of the equation over the next several quarters?
Bryan Shinn: It’s a really good question, Stephen, and we’ve spent a lot of time thinking about this, as you might imagine. I believe that, first off, we’re going to continue to see strong demand over the next several quarters, so that will help keep the market tight. But further than that, there are all kinds of different supply constraints and issues out there that we see. Obviously labor at the mine sites, say all across the Permian, is one; trucking is another, logistics is another issue, particularly anything that has to go by rail right now is very challenged given the issues that the railroads are having all across the country, and that’s not just for sand. There is a big article in the Wall Street Journal today talking about some of the crops and other agricultural issues that are being caused by the railroad issues, so we’re feeling that pain in our industry as well.  I feel like the dynamic sets up very well to keep things tight in the market, and we’re also seeing quite a bit of discipline out there in terms of all the sand suppliers in addition to that, so I think we’re set up for a really good environment for pricing over the next few quarters and, as you said, in many instances sand has actually become the gating item for completion activity, and most of the service companies that we talk to now won’t even mobilize equipment out to the job sites unless they’ve got sand fully committed for the entire job, and what we saw earlier in Q1 is before everyone kind of woke up to the tightness in the sand market, jobs would be started and then in the middle of the job, they wouldn’t have enough sand and there would be this big panic. We’re a little bit past that, but mostly because, I think, folks are coming around to the realization of the tightness and planning accordingly. It’s an interesting time, and as you can imagine, that’s leading us to have a lot of conversations with existing and potential customers, and I think you’ll see us continuing to sign some new contracts and also we’re going back to customers with existing contracts and kind of reopening those up for negotiations, and we’re getting pretty good reception from customers just given the reality of the market right now.
Stephen Gengaro: Great, and if I could just sneak in one more that’s a follow-up to that, we’ve heard because of the sand shortages, some of the E&Ps are self-sourcing less and letting the pressure pumpers supply the sand in greater numbers. Does that impact your business at all?
Bryan Shinn: We haven’t necessarily seen that, but it doesn’t matter to us. We tend to deal with all the Tier 1 players, be they service or operator side of things, and I think the approach we took in Q1 when a lot of this sandemonium was going on is we put a lot of emphasis on service to our customers, and I think if you went out and surveyed customers, they’d tell you that they almost never got shut down by U.S. Silica, even when everyone else was having problems. I was actually having lunch with a customer a couple of weeks ago out in the Permian and he was just giving me an anecdote, he said, I was talking to a friend of mine and he was asking me how we were making out with all this sand issues, and he basically said, what sand issues, I have U.S. Silica as my supplier, so I think our customers have been somewhat insulated from this because we’ve worked really hard to make sure they had what they needed to do the jobs that were scheduled.
Stephen Gengaro: Great, thank you.
Bryan Shinn: Thanks Stephen.
Operator: Thank you. Our next question comes from Dan Cook with Morgan Stanley. Please proceed with your questions.
Dan Cook: Hey, thanks. Good morning. 
Bryan Shinn: Morning Dan.
Dan Cook: I wanted to ask a more broad question on oil and gas pricing. As you’re thinking about the factors that are supporting frac sand pricing today, can you talk through how you maybe think about which of these trends are potentially more transitory over the medium to longer term and if there’s anything that you think is potentially more structural that could support sand pricing longer term, whether it’s from cost structure supply-demand dynamics? Thanks.
Bryan Shinn: Sure, it’s a really good question, Dan. I think the way I look at it, and we talk all the time internally about the sustainability of our profitability in the oilfield, and I think that’s really at the root of your question, so I would say, first off, that I believe and, most importantly, I think our customers believe--every senior executive I’ve talked to recently has some version of this kind of thesis, that we’re in the early stages of a multi-year North American shale upcycle, so I think the conversation of pricing and margins has a backdrop of it seems like we’re going to be perhaps a lot tighter here than we’ve been over the last few years.  Then I think you have to look at U.S. Silica and what we have, and I think our sand and last mile logistics services are critical to well completions across the industry. We’ve got, depending in the quarter, 10% to 15% share of the proppant and about 30% share of last mile deliveries with SandBox, and I also think we’re really well positioned with our operational footprint and the customer base that we have, and the contracts that we have quite frankly, and I think that’s proven to be true, whether it’s on the downside that we faced during the pandemic, where we were kind of the last man standing, as well as the upside here. I think there’s a number of elements there that you have to look, not just kind of in general what do profits look like across the sand industry through some cycle over the next several years, but you focus on U.S. Silica and I think we check almost all the boxes. Just to give you an example, we’re trying to be very sustainable in our pricing and profitability, and while we could go out and sell sand for $50 or $60 a ton on the spot market, our preference is to go to our existing customers and perhaps renegotiate the entire contract, get it extended, and instead of selling some number of tons to them at $50 or $60, I’d rather just raise their price to $30 or $35 for the next three or four years. Basically to us, it’s the same margin but it gives them the ability to have more sustainable prices. Back to my original comment, these are the kinds of things that I think customers are starting to believe. Customers are signing long term contracts. We’re starting to get CRF contracts again, which I think the last CRF contract we signed before this current time was back in 2018. Just a reminder for the folks on the call today, CRF contract is our best contract version, sort of version five of our sand contracts where customers give us cash up-front and then that cash gets returned throughout the life of the contract on a quarterly basis as they buy sand from us, so it keeps us and our customers really well aligned. We’re starting to sign those again and I think that’s an indication that customers are seeing the same things that we’re seeing. It’s a longwinded answer to your question but there’s a lot of elements to this, but I’m really confident that profitability is going to be up significantly for many quarters to come here.
Dan Cook: That’s all really helpful and that’s good to hear. Maybe on the ISP side, a pricing question here as well. We’ve seen a number of announcements from you guys on you being able to raise pricing there. Particularly the recent ones and maybe before that, there was language that these were largely to offset cost inflation. Could you maybe talk through which end markets or product lines do you have maybe more pricing power and you’re actually able to realize net pricing gains, and which product lines are more just to kind of offset inflation dynamics?
Bryan Shinn: If you look at our pricing announcements and go back over the last several that we’ve put out, you can see that they’re pretty broad ranging, so I don’t think there’s any corner of the industrial business that has not been subject to a price increase over the last 12 to 18 months. Now, that’s for non-contracted customers for sure, which is about 50% of our total revenue, right, so we’re typically 50/50 contract and spot, or just sort of looser agreements that we have with customers, where we can raise prices like we’ve been doing. I think what you’ll find, though, is that across most of the industries that we serve, there is a limited set of options in some cases for customers, and we provide a service that the customers value a lot, so we do have the ability to raise prices and get those to stick. I would say that we’re probably 95%, 98% in terms of getting the increases that we announce to stick, so it’s been very successful, quite honestly, and kudos to our sales team. It’s a tough thing as a salesperson to be out constantly raising prices, but we keep a very tight watch on inflationary costs and make sure that we are covering or more than covering those costs as they come up.
Dan Cook: Great. Really helpful and good to hear. Thanks a lot, Bryan. I’ll turn it back.
Bryan Shinn: Thanks Dan.
Operator: As a reminder, if you would like to ask a question, please press star, one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. Thank you. Our next question is from Samantha Hoh with Evercore ISI. Please proceed with your question.
Samantha Hoh: Hey guys, congrats on the great quarter.
Bryan Shinn: Thanks Samantha, good morning.
Samantha Hoh: Good morning guys. I think the thing that I’m kind of struggling the most with is just on the balance sheet. I would have expected a little bit more cash, especially given that you guys collected on that CARES refund. Can you maybe quantify how much of--what the cash component of the M&A related expense was and maybe just what we can--I mean, from my sense, it seems like you’re going to way surpass that year-end $300 million target for the cash balance, and I’m just kind of wondering if--you know, where I’m differing versus where you’re guiding to.
Don Merril: Sure. I think you’re right on the last point that right now, we’re anticipating our cash balance to be in excess of $300 million. In the first quarter, typically if you look back in the history of the company, we burn cash in the quarter. There’s a lot of cash liabilities that we have that come out, but I can point to a couple of things in particular. One that we mentioned in the press release is that we did have--we ended up settling a liability in the first quarter. We had about a $10 million liability out there that we had the option to pay off at $0.65 on the dollar, so we had a cash expense of $6.5 million. We had capital spending of $7 million as well, and then we are--you know, working capital is starting to increase as we have more sales, and so the accounts receivable balance is going up. Those three things combined really is what caused us to be flat despite the CARES refund, but we do anticipate being free cash flow positive the rest of the year.
Samantha Hoh: Okay, great. Then I may have missed it, but did you give ISP volume guidance?
Don Merril: No, we did not.
Samantha Hoh: Okay. It was pretty impressive to hear that Millen is sold out. From my recollection, it seems like you were re-jigging that plant to have multiple product lines, and I think you were even increasing capacity. Can you give us a sense of what that means for that plant to be sold out?
Bryan Shinn: It’s a great question, Samantha, and you’re remembering right - it wasn’t that long ago that we were just ramping that site up. Our commercial team has done a great job there and I think it goes along with what we’ve talked about with the quartz countertop market starting to boom here in North America and a lot of these new lines that are starting to begin operations. I think what you can take from that is we’ve signed some really attractive contracts and pricing is up pretty substantially in that sector as well, and as we’ve talked about in the past when we laid out our growth projects for the industrial side of the business, we think there is the opportunity to add additional capacity. If you look at Millen, it has a second kiln that’s already there installed, so basically what we’re running now is one out of two kilns, so we have to start up that second kiln and certainly that’s part of our long term growth plan over the next 12 to 18 months. We’re starting to already have conversations with customers around contracting up the additional volumes that we can make from that second kiln, so I would expect that we’ll be talking about that a bit more in the future.  It’s turned into a really great facility for us and we’re going to make a lot of profit out of Millen in the coming years.
Samantha Hoh: Okay, great, and then maybe just one last one. That capex ramp in the second half, I totally understand it’s really for growing ISP. I was wondering if you guys have explored opportunities to maybe partner up with customers or maybe even the federal government in terms of getting funding for some of these investments that you need to do to actually really build up ISP and new products, especially DSG-levered products. I’m just wondering if you’re really going to be thinking of just funding your growth capex in house or are you looking at other opportunities to partner up with your customer base.
Bryan Shinn: We definitely are thinking about partnership opportunities with customers, and I like that for a couple of reasons. My experience is if you can de-risk projects like that, it’s always helpful, but perhaps more importantly if customers have a bit of skin in the game in terms of a capacity expansion, for example, they tend to be much more likely to buy from you and you have less contractual issues or worries about demand in the future. That’s definitely on our playbook, and we continue to look for opportunities to take advantage of not just from, say, the Millen expansion but other expansion we might need to do in the future to support the growth of the solar panel industry in the U.S. or, depending on what comes out of Washington, if we get some kind of a bill through Congress on some of the Build Back Better projects, we have a lot of different products and offerings that go into, say, construction, commercial construction for example. We talked in our prepared comments here about our new limestone capabilities, so that’s into roads and all sorts of aggregates and things, so I think there are going to be multiple opportunities to look for additional funding to help offset or, maybe more importantly, de-risk our capital investment. We certainly are pursuing those things aggressively.
Samantha Hoh: Okay, and just one on oil and gas. I think one thing that we’re all trying to understand is just given the sustained higher pricing environment and confidence in this multi-year upcycle, I’m wondering if there are certain idle capacity that you have that may be look more economical now at these current price rates. I’m just wondering what are the opportunities to maybe add some capacity just from idle facilities that you might have, maybe not in the Permian per se but just in the Northern White. Are you getting to the point where that might be feasible in the next year or two?
Bryan Shinn: I think we’ll have to see where things go, but we certainly don’t have any kind of firm plans to reactivate any of the Northern White capacity at this time. Certainly given all the rail challenges right now, that wouldn’t be feasible even if we could snap our fingers and reactivate those sites tomorrow. There’s not enough--to use an oilfield euphemism, there’s not enough takeaway capacity, if you will, to get the sand on rail and out from those facilities, so I think that will be a significant bottleneck to any Northern White coming back online.  That said, we all know that Northern White on a delivered cost basis is substantially more expensive than the local sand, and so to the extent there is Northern White coming in to plays like the Permian, that’s fantastic news for us because that just raises the pricing umbrella for all the local sand as well.
Samantha Hoh: What is that cost component now? I think it was, like, $50 per ton previously.
Bryan Shinn: I think that’s a good rule of thumb, depending on where it’s coming from and which rail. Maybe $40 to $50 a ton additional is coming in, and then you also have to remember that it comes into a trans load which is probably not as conveniently located as some of our mines are to wherever the jobs are, so there could be an additional trucking component there as well.
Samantha Hoh: Okay, excellent. Thanks so much for all the help, and congrats, Bryan. Thank you.
Bryan Shinn: Great Samantha, thanks as always.
Operator: Thank you. Our next question is from Derek Podhaizer with Barclays. Please proceed with your question.
Derek Podhaizer: Hey, good morning guys.
Bryan Shinn: Morning Derek.
Derek Podhaizer: Good morning. Last quarter, you mentioned your revenue at ISP was 12% for the environmentally beneficial products, and I think it was a $20 million exit contribution margin annualized run rate for the new products as well. Could you just provide us an update on how this progressed this quarter?
Bryan Shinn: I would say that we’re running at about the same product mix in Q1. We will see some additional ramp-ups throughout the year of revenue from things like the solar panels or some of the DE-based insecticides and other products that are under development, so we’ll see that ramping throughout the year but not a big change from Q4 to Q1.
Derek Podhaizer: Okay, that’s helpful. Then you mentioned a number of process efficiencies to help support profitability. Just wondering if you can perhaps provide us a little more color exactly what those process efficiencies are and maybe just some stats around how it is able to support your profitability.
Bryan Shinn: It’s a great question, and it’s one of my favorite parts of the company. As an operations-focused entity, as you can imagine, we have a lot of continuous improvement folks that work across our different sites. We have a dedicated team that works with our operations group to try and make all those kinds of improvements, so it’s everything from looking at cost savings to improving yields to standardizing operating procedures to training of operators and mechanics. It’s a wide range of things, and if I showed you the spreadsheet where we keep all the opportunities, it’s a multi-page sheet with literally hundreds of opportunities spread across our 24 operating sites, so there’s a lot of that’s focused on operations. A big part right now, as you might imagine too, is focused on supply chain and logistics. One of the big efficiencies that we’re going after is to try and expand our opportunities and de-risk some of the international logistics that we have within the company. I think again, much like the rail that we’re seeing now on the oil and gas side being an issue, international logistics is an issue for every company that ships around the world obviously, and so our teams are focusing in and trying to, for example, get us out at more ports, so a lot of the diatomaceous earth that we ship, which is our biggest export product, is made at our site in Lovelock, Nevada, and that goes out to the port of Oakland typically. Oakland has just been overwhelmed over the last year or so, and so we’re spreading that out, for example, to ship from Long Beach, Houston, New Orleans. We’re looking at Savannah and other east coast ports, and so the team is very focused on logistics, efficiencies, and that will help with costs but it will also debottleneck the site. We never want to have to slow down our operating site because we have downstream logistics challenges, with the mess that logistics are these days.  Anyway, long story short, a variety of different items that touches almost every aspect of our supply chain and operations.
Derek Podhaizer: Great, appreciate the color. I’ll turn it back.
Bryan Shinn: Okay, thanks Derek.
Operator: Thank you. There are no further questions at this time. I would like to turn the floor back over to Bryan Shinn for any closing comments.
Bryan Shinn: Thank you Operator. As we bring our call to a close today, I want to conclude with just a few key thoughts. First, I believe that we’re very well positioned and on track to deliver an outstanding year with strong sales, profitability and cash generation, and I think one way or another, we’ve touched on almost all of those within our prepared remarks and the questions. A second thought here is that we’re very committed to market and capital discipline, and if you look at the margin improvement efforts that we’re currently undertaking, I think we expect to be able to continue to sustainably generate positive free cash flow - Samantha asked a great question about that. I’m really excited about the amount of cash that we’re going to generate this year - as Don said, we expect to be well over $300 million on the balance sheet by the end of the year, and that will help us further strengthen our balance sheet.  Then finally, as we look ahead, we remain very confident that our industry leading business segments, robust product portfolio, focused strategy that we have, and what I think is best-in-class execution will create sustainable value for our shareholders and all of our stakeholders. Thanks again for joining the call today, and we look forward to speaking with you all again next quarter. Please everyone stay safe and be well.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.